Kenton Jarvis: Well, hello, everybody, and welcome to easyJet's Full Year Presentation for the period ending 30th of September 2025. I'm joined today by my full management Board on the front row here. So please feel free to ask them questions either after the event or in the Q&A session that we'll have. We also loaded a presentation first thing this morning on to the website. Hopefully, you've had a chance to look at that presentation. But if you haven't, I will give you the key highlights of it now, and then we'll go straight to Q&A, so we have a good amount of time for your questions. So we're very pleased to announce our third consecutive year of earnings growth. From a PBT perspective, that was a 9% increase to GBP 665 million. But actually from an operational performance before financing, so EBIT, we saw an 18% improvement with GBP 56 million of that improvement in EBIT coming from holidays and GBP 50 million of that improvement coming from the airline. On holidays, we had a very successful year for holidays. We were able to reach the GBP 250 million medium-term target that we set just 2 years ago, and we did that ahead of schedule. There was strong customer growth. We saw a 20% increase in packaged holiday customers. We also had a 32% increase in profit due to the very low fixed overhead base of that business. We were also really pleased with the proactive actions that we took when it came to resilience measures. to set up for the busy summer. We knew air traffic control was a problem. We knew it would be a bigger problem over French airspace, which we're particularly exposed to. And therefore, we wanted to get in front of that and did a lot of measures to do that, and we're very pleased with the performance. We saw a 3% increase in on-time performance and even more pleasing, a 4% increase in customer satisfaction. And at 80%, that's the highest level that we have had in over a decade. So a very strong performance despite the problems that still existed over French airspace. Moving on to the balance sheet. Our owned asset position has increased to GBP 4.8 billion now in terms of owned aircraft, and we expect that to increase to over GBP 7.5 billion by full year '28 as we see the neo aircraft family deliveries really ramp up. When it comes to net cash, we improved our net cash position to GBP 602 million. And that really is important along with the enhanced liquidity that we carry because that will help prefinance a lot of these aircraft orders that we're going to be getting over the next 3 years. I'd also like to highlight that our return on capital employed reached 18% from just 13% when we set the target. So now we're operating in the range that we were seeking to do as a high-teen return on capital. So that moved nicely for us. And following the success, we know that the upgauging journey is still in front of us. We started full year '25 with 82 A319s, and we finished with 82 A319s, but because we only had 9 deliveries and we took those into growth. So we're now looking forward to those increased Airbus deliveries, 17 next year, 30 the year after and 43 the year after that, so we can really start moving and upgauging the fleet and retiring the older less fuel-efficient A319s. And we would expect about 60% of those to go over the next 3 years by full year '28, and that will deliver the majority of the GBP 3 per seat benefit that we've been talking about. And following the success of easyJet holidays, we've upgraded that target to GBP 450 million by full year '30. And Garry and his management team are going to be holding a seminar in Luton head office in Capability Green on Friday, where they'll unpack how they're going to do that. But I'm sure you'll have a couple of questions anyway for Gary at the end of this presentation. As we look forward to winter, we have to admit that we're finding the reduction of winter losses more challenging than we originally hoped. We put a lot of capacity and productivity into this winter, and that did yield cost benefits. Our unit costs came down. We saw aircraft productivity utilization increased 5%. We saw crew productivity increase 6%. But what we have to remember is when we put those new routes on and we put that capacity on, that is an investment that the airline is making, and that takes typically 2 to 3 years to mature, which is what it's probably going to take because it's a slightly lower demand position in the winter. The other factor, which is why it's a little slower than we anticipated, is the fact that there are still 2 wars happening in our network. That means that in the Middle East, we haven't returned to Tel Aviv. We're no longer flying to Jordan, for instance. And many carriers have substantially reduced their capacity in those areas, which has put more capacity into the old favorites like the Canaries and Mainland Spain, Malaga, Alicante and therefore, more competition. But we really expect that to mature as we go forward. We saw a maturing of our domestic routes after we increased capacity following the reduction in domestic APD in 2023. Margins suffered a little bit, but now we have a very well-performing domestic program, and we're seeing some of that profitability return to cities as well. But that cost of investment sits with the airline. Obviously, from holidays, they benefit from the increased winter sun destinations. They benefit from a better schedule into cities for city breaks and immediately start selling into that, immediately start making profit because of their cost-plus business model. The airline, however, whilst we get the cost benefits upfront, it takes a little longer to get the revenue maturity benefits, but we're confident they come through. And the other thing we're mindful of for the winter ahead is our investment in Linate and Fiumicino. We're really happy to be able to get these slots in Linate. They don't come up very often. They've only come about because of the acquisition of the Lufthansa Group of ITA. And we placed 5 aircraft there and 3 in Fiumicino, which is a popular destination for us. But we know that it will take time for that to mature. We're having to fly the remedy routes that came along with that, and we know that the new routes will take time to mature, but we're very confident that we expect Linate to have the same profit characteristics as someone like Orly, which does very well in our network, but will take 2 to 3 years to mature to deliver that. So with all of that in mind, we still remain very confident of our ability to deliver to the GBP 1 billion target. And now 2 years ago, we were making that statement from a GBP 427 million profit base. Now we're making that statement from a GBP 665 million profit base. If we step back and look over the last couple of years since we set the medium-term targets, this is a slide I naturally love. It shows the progress we've made on every front. When it comes to our product range, we've had 13% more routes, and that is attracting customers and allowing us to grow. where more customers are choosing easyJet Holidays as their package provider. Originally, that was mainly coming from the airline. Now more and more, we're winning those customers from competitors, and you can see that in the competitor data. You can also see that in our growth of market share from 5% to 10%. And the focus on resilience measures really came through with almost more than I was hoping for a real tangible benefit in terms of the customer satisfaction scores, and that's so important for the brand going forward. So all of these key measures will help strengthen the long-term success for easyJet. So in summary, we're well positioned to capture the growth opportunities that lie in the years ahead. We're confident that if we execute well on our strategy alongside a continued disciplined approach on capital allocation that, that will drive us towards the medium-term targets and then beyond. Our asset-light easyJet holidays model is now going into a second phase of its development. We're looking to increase that U.K. beach market share from 10% and challenge the #1 and #2 in the market. We're starting to work much harder on the European expansion, and we're seeing good early signs of that. The city proposition is coming through nicely. So Gary can talk about all the activities that underpin the confidence that we can increase our targets up to GBP 450 million. And the neos are coming. We've seen a consistency from Airbus. The supply chain difficulties seem to be unblocking a bit. And last year, we said we're expecting 9 aircraft in full year '25. We got them. And we said then it goes GBP 17, 30, 43. A year later, we're still saying GBP 17, 30, 43. So Airbus haven't moved that schedule. So we're growing in confidence that upgauging will come through. And we know from the aircraft that we have replaced so far that, that is a GBP 10 benefit when a 320neo replaces a 319 or a GBP 16 per seat benefit when a 321 replaces a 319. And obviously, when you're making profit of GBP 6.40 roughly, those are big numbers in terms of a reduction in the cost for those aircraft we're flying. With all these levers and with one of the strongest balance sheet, investment-grade balance sheets in the industry, I think we're well positioned to push forward. And we firmly believe as a management team, if we focus on this execution, then over the medium and long term, we will provide very attractive shareholder returns. So many opportunities in front, very excited about the future and the potential for easyJet, and we'll go open to questions, Adrian?
James Hollins: It's James Hollins from BNP Paribas. I'll save any holidays questions to visiting Gary Wilson Towers on Friday. So 3, if I may. First of all, on kind of holidays the airlines, it's quite sort of noteworthy that airlines was, I think, flattish PBT, all the growth is coming from holidays. Maybe sort of run us through kind of the airline-specific headwinds. And I think more importantly, how that plays out as we look at full year '26 before the upgauge story kicks in for the airline? Secondly, Jan, on your little video there earlier, you clearly noticed some cost efficiencies targets or cost efficiencies program. Maybe run us through in a bit more detail how you're seeing a potential cost program? Any quantification timing? Or am I just overstating it? And then thirdly, I think probably for you as well, Jan, any sort of -- is there any lease repurchase gains being incorporated into your full year '26 unit cost guidance?
Kenton Jarvis: Okay. Well, I'll take the first one and then Jan can take the second 2. When it comes to profitability and airline versus holidays, as you put it, I think the first thing to say is we very much think of ourselves as a group, and it's a group target that we're all focused on pursuing. So we have a group target to deliver GBP 1 billion in profit before tax. We've seen good progression for the last 2 years. I probably leave it on that slide, shouldn't I -- there we go. We've seen good progression for the last 2 years, and we're confident we can keep progressing. Now it's fair to say that the PBT development, which was an improvement of GBP 55 million was GBP 60 million airline and GBP 5 million negative for the -- sorry, GBP 5 million negative for the airline and GBP 60 million for holidays. But when you look at it at an EBIT level, you can see a much more even spread. We increased our EBIT by GBP 106 million, GBP 56 million was holidays, GBP 50 million the airline. And what you've got to remember is, as a group, the airline bears the cost of the expansion. When we establish a new route, it's the airline that will get the productivity benefits. But equally, it's the airline will have to wait for the route maturity. EasyJet Holidays gets to sell straight into that additional capacity, especially if we've been putting it in regional U.K., which we have. And when we look at the interest costs, which are then the financing costs, which is the delta between the PBT development and the EBIT development, there's 3 main reasons there. Firstly, the GBP 3 billion, GBP 3.5 billion of cash we're carrying, the interest rate environment is lowered. So we're getting less income on the monies we're carrying there. Secondly, we retired of GBP 0.5 billion bond during the year. That was taken out many years ago at very low interest rates and the cash we had on deposit was earning greater interest rates than the bond that we're servicing, but we retired that. So that had an impact. And the third reason is we anniversaried the bond we took out in March '24 and therefore, had the impact of that. There also any FX exchange rate on the balance sheet, I think that was a hit this year of GBP 13 million, GBP 14 million year-on-year. That goes through that financing line as well. So the actual underlying performance moved forward for both airlines and holidays. Also, I'd point out that the opportunities in front of us Gary will talk you through the many opportunities he sees for holidays, but the upgauging is a great opportunity for the airline because that will allow us to deliver -- have a lower cost of production, which will sit in the airline that benefit as that comes through. Equally, the opportunity to fly back into the Middle East, which we're hoping to start up again in kind of this summer from certain destinations. It won't be anything like the volume it once was until that builds progressively over time, but that is a good destination in the winter. Jordan is a good destination in the winter. And not only will that be a profitable destination for us, but it will also take some of the pressure off the canaries, which have been taking -- which has been the alternate for so many destination choices, which are currently removed with 2 wars in the network right now. And hopefully, as French air traffic controllers get finally recruited, we'll see an improvement in that air traffic control space. We will maintain our investment in that space for as long as we need to. But then there should be some unwinding over time as we see a naturally improved performance. We haven't seen that yet, so we're going to keep the customer experience as high as we can until such a time comes. But that's really -- so I don't really see a big delta between the performance because underlying performance increased nicely for both. Jan?
Jan De Raeymaeker: All right. Well, on the cost performance, I think, first of all, I think we had a good cost performance in 2025, which CASK going down 3%, of course, benefited by positive fuel throughout the year, but ex fuel CASK was down 1%. That was made possible because of increased productivity, especially through more winter flying on longer sectors, but also a very good operational performance with lower disruption costs and overall increased frequency efficiencies. That, of course, was offsetting the inflation that we're experiencing like any airline is currently experiencing. For next year, we expect CASK to moderately grow as we will benefit from lower fuel costs, which will then be offset by further productivity gains, but offset, of course, by the continued high inflation throughout the year. We will continue to invest also in additional resilience measures because we don't expect really a substantial impact of further improvement of ATC delays. And that does not take into account any potential benefit of any upgauging. Like Kenton said, we are only retiring 3 aircraft next year. So that means if you look at the GBP 3 per seat improvement that we're expecting over time, only GBP 0.25 has been realized so far, and we're still GBP 2.75 ahead beyond 2027. So if you look at cost actions for the future and what we're expecting, well, I think, firstly, I do expect further cost improvements possible. One, the upgauging definitely is the most important one, not in 2026, but rather beyond 2027. Ownership costs will definitely go down. I'll come back to that. But linked to the aircraft buybacks that we have done in 2025, we've done that because the ownership costs will go down. And if new opportunities will arise, we'll obviously work on them. Thirdly, we're further improving productivity, and there is work ongoing to see how we can further improve productivity by improving our network schedule, improving seasonality, looking at day of week improvements and just also improvement in our way of working and investing in new tools to make sure that we are more efficient. And we are also continuing to invest in all potential capabilities, whether it's operational, commercial or just enterprise IT investments, just making sure that we are more efficient in everything that we do. And to be honest, we are a low-cost company. And I think when we had a fire chat with Stelios, he said one of the things we should never lose is our low-cost DNA. And so continuing to tighten the screws everywhere is something that we're doing every day. So I think still opportunities to reduce cost and focusing on that every day. So that's on that. Your second question is whether or not we expect further ownership costs linked to potential buybacks. So first of all, we do expect cost reductions linked to the buybacks. So next to the 9 aircraft that we took -- the new aircraft that we took into ownership this year through cash, we had the opportunity to buy back 8 newer -- well, 8 neos and newer ceos throughout the year. The reason why we've done that is that this provides a unique opportunity to get back those assets which were sold and leased back through the pandemic. It gives us better access and better control on strategic assets, first of all, which is important in a tight supply market. But secondly, it also allows you to reduce the ownership costs going forward. Now the flip side of that is that it does have a one-off release of the maintenance provisions given that we are not now the aircraft are under ownership, and we're not provisioning for future maintenance costs given that we take those costs when they occur. But the key benefit of it is that we are keeping those assets under own control and it does release or improve our ownership going forward. So for next year, so the reduction of that ownership cost has been taken into account. However, what we do not take into account is potential future buybacks. If ever there would be future opportunities, we will obviously look at them, but only if they have a positive impact in future ownership cost.
Gerald Khoo: Gerald Khoo from Panmure Liberum. Three, if I can. I think others in the market have commented about a bias towards late bookings. Are you seeing anything similar? And are you seeing any sort of impact on booking behavior from the U.K. budget? Secondly, on the holidays, I think you managed a 5% improvement in average selling price. I was just wondering whether you could break that down in terms of what's going on between accommodation mix, duration and price. I think in the past, you talked about the push into city being dilutive to average selling price. And obviously, you're up 5%. I was just wondering where that's going. And finally, on the topic of lease buybacks, I can understand the benefits to easyJet. Why are the leasing companies willing to park company with lot of good assets and with a good airline?
Kenton Jarvis: I'll take the first one and then start handing them out. We do see a strong late booking trend. We have -- I don't think it's to do with the budget. To be honest, it's been running for about a year now. As we enter the late, it's been a strong booking period. The only time we didn't really see it was during our second quarter of this year. But all other months, we've seen a stronger late booking trend. However, we also see a strong early booking trend. So it's becoming a little bit polarized. So people are going out, securing what they want early, but people are also comfortable taking their -- booking their trips later. And you can see that in our Q1, where we're 81% sold, but 2 percentage points ahead year-on-year in Q2 earlier, but 26% sold and again, 1% ahead. easyJet Holidays, an impressive 20% growth last year, looking like a -- we're forecasting a 15% growth this year, but H1 is already 80% sold for the whole of the first half with good growth. So we still see the consumer there. We still see the consumer buying. In terms of the pricing, we're seeing it kind of starting to sequentially improve. So our fourth quarter pricing was probably about minus 2%. We're looking at the first quarter of minus 1%, maybe slightly better. And then as we go into Q2, pricing is ahead year-on-year. So we're starting to see that steady sequential improvement. And then we delivered a very strong summer this year, another record summer ironically. And so we look to continue to build because summer keeps showing the characteristics of a market with less demand than supply -- sorry, less supply than demand, even though we saw a bit of a heat wave in the actual summer months, it still yielded a very positive summer. So it looks again like demand sits firmly above supply when it comes to the summer for airlines. So let's go to Gary for holiday pricing and any mix that he sees.
Garry Wilson: Yes, on the holidays pricing, the 5%, how we break it down, we saw a lot more activity in the late market and particularly from the traditional operators who clearly had committed to too much capacity. So there was a real aggression in the late market where they were pulling prices down. Now one of the benefits that gave us being fully variable is that the hoteliers who didn't have those committed beds were really active in reducing their prices because they were seeing that was hitting their occupancy. So we actually did quite well in terms of moving our margin from 12% to 13% while still having a 5% increase. And that would probably drive the number of 20% volume increase, which we talked about 25% some months before that, but we took the conscious decision that where we could get enhanced margins, we were better doing that than try and participate in some of the kind of crazy activity that some of our competitors were doing in the market. So we're really happy with how that played out.
Kenton Jarvis: And why are people leasing back?
Garry Wilson: Well, first of all, so far, as I know, I'm not working for leasing companies, so I can't really tell you what they are thinking about, but I'll try to put myself in their shoes. Well, first of all, important to note is that the partners we're working with, these are long-term partners so that we are really working with them on the long term and not on the short term. Two, I think over the past years that they had a good run on the leasings that we have with them would be the second reason. The third one is given that now the leases are getting closer to the end, I think probably for leasing companies, easier or better to have certainty about what's going to happen with the assets rather than having the uncertainty for the coming years. And finally, I suppose it also generates or liberates a part of the cash that they probably can reuse to invest in something else would be my GBP 0.50 not working for a leasing company.
Kenton Jarvis: But yes, I mean, Gerald, in the pandemic, it was 2020 that these were taken out. The majority were 10-year leases. So it has been a good run, 6 years under the belt, but they're starting to think, well, they probably won't maintain them at that lease rate. I don't know if you remember when I first started, I talked about the amount those costs have gone up by. It was quite breathtaking. So it's been a good run, and we're getting them back and seeing a forward benefit in the P&L.
Harry Gowers: It's Harry Gowers from JPMorgan. A couple of questions. Ken, you talked about some of the route maturity benefits from the capacity growth maybe taking a little bit longer than anticipated. Is that referring to Linate and Rome as well? And has the investment there been a little bit steeper maybe than you had previously expected? Second question, what sort of number or range should we be thinking about at the moment for the winter PBT losses? And then the last one, just thoughts on the Jet2 entry into Gatwick. Do you think this will need any kind of competitive response at all from easyJet on the airlines or the holidays side?
Kenton Jarvis: I'll take 2 and 3 and let Sophie take one, but I'll take them in that order. So Sophie can have a think about the route maturity. But yes, it would involve Linate and Fiumicino. Jet2 entering London Gatwick, I mean, we are very happy competing with Jet2 and do so right throughout the regional U.K. So in every airport in regional U.K. outside of Gatwick, we compete with Jet2. And that competition has seen us go from nothing to GBP 0.25 billion of profit for holidays, growing steadily and taking now 10% of the market share. So very happy to have them as a competitor. When it comes to London Gatwick, they will represent 2.8% share of that airport. We represent 44% share of that airport. So our frequency, our destination choice, the duration to which you'll be able to holiday over will obviously be far greater with easyJet, we also have a scale and a cost benefit in terms of operating out of London Gatwick. So again, hopefully, it will promote holidays even more in the area. But you got to remember, too, we have been there quite some time and with that kind of presence and some. And therefore, I think that will probably be a more natural battle than with easyJet, who have 44% market share. So comfortable with that. When it comes to the upcoming winter, I think what I'd say there is for the second quarter, we expect the RASK to improve, like I said, from minus 2% to just under or about minus 1% in the -- sorry, that's in the first quarter. In the second quarter, I would expect a sequential improvement on that. I'd expect actually RASK to improve year-on-year because we're seeing more strength, but it's very early. So 26% booked. We're not really guiding to that. But what we have said is we expect the investment in Linate and Fiumicino to be about GBP 30 million in the winter. It was about GBP 20 million in our first summer and thereafter, sequential improvement and within a number of years, expect that to be a highly profitable base because that has all the characteristics, but we're having to fly the remedy routes from the ITA Lufthansa acquisition. So think about 30 in terms of that Linate for material investment for winter. But in general, how are you seeing the route maturity across the network?
Sophie Dekkers: Yes. I would say that overall route maturity is probably in line with expectations, to be honest. I think we've just got to recognize we put a lot of new capacity in for this winter that's coming into its first winter. So Rome Linate, we put on sale quite late for the summer. So it had a very short selling window because the easy decision came through very late, and we had to action it straight away. As Kenton said, a lot of that capacity is on remedy slots. So we have to operate those slots, those routes specific for 3 years. And so that's coming into its first winter. We've also got brand-new capacity in Southend, so that comes into its first winter as well. So where you're putting new capacity into completely new routes or new routes for easyJet, that generally takes longer than when you're adding frequencies to existing routes. So the majority of our winter growth on the fleet that we added this summer is on routes that is adding frequency into routes. But we do have to recognize we've got 8 aircraft on the Linate Rome remedy slots and 3 aircraft in Southend, and they're coming into their first winter, so that will take time to mature overall. And then just to pick up on the Jet2 point, Kenton talked about the market share. In terms of route network and reaction from us, I mean, their most frequent routes will be Palma, which will be daily from Gatwick. We do 6 a day from Gatwick. They do -- it will be 2 a week, we do 3 a day. So in terms of us taking any kind of action against that in terms of our own network, I don't think we need to because we already have such a huge amount of frequency on those routes versus Jet2. So I don't think we need to be too concerned about that. And as Kenton said, it's a very small amount of capacity versus the frequencies that we have in there.
Kenton Jarvis: Yes. And for this winter, we still won't be flying into Jordan and Tel Aviv. But we fully expect the winter after to have the network shape back in place.
Andrew Lobbenberg: It's Andrew from Barclays. Can I ask a little bit more coming back to Rome and Milan? Can you give us some color, you're talking about GBP 50 million losses here. I mean, how much of the losses are from the remedy routes? And how strong are the non-remedy routes? Or how are the non-remedy routes trending relative to your other basis or something, just so we can have the confidence that once you rid of these blessed remedy routes, how lovely can it be? Second question might come to the unit costs. I'm sure you've done the math. I'm sure I could do the math if I had a brain. But how much of your small increase in total unit costs, how does that unpack to nonfuel unit costs and the nonfuel unit costs, excluding the share aircraft buyback gains. And then, yes, so what's the real underlying ex-fuel unit cost for next year? And then just a final question, how are those engines on the neos behaving? Are they still troublesome? Or have you got the new clever bits retrofitted so they're behaving better for you already? Have they got some fancy retrofit, haven't they?
Kenton Jarvis: Thank you, Andrew. We'll take them in the order. I don't know whether David wants to take the engine question. But we'll start with Sophie on Linate and Fiumicino.
Sophie Dekkers: Yes. So in terms of the capacity, I would say the non-remedy routes are definitely performing better. A lot of the non-remedy routes, some of them we were already operating actually previously inbound. So some of the routes like we're operating Gatwick and Manchester Linate. So that's just building the capacity from an outbound market perspective. So those obviously are maturing anyway and those are performing well. When we were comparing routes that we operate out of Malpensa versus ones that we're operating out of Linate on a like-for-like route basis pre the acquisition of the additional slots. Linate did get a premium over and above what we were able to get from Malpensa, which was the reason why we saw this as a great opportunity to get into a very completely slot-constrained airport in Linate. So I would say it is the remedy routes that are the investment, and that's we're investing in, but we know that there's a price at the end of the tunnel because what we can see on the routes that aren't remedy routes and what we were historically operating in Linate were very strong performing routes. So we see that as the opportunity. And in Europe, it's worth mentioning, you can't buy from other airlines, whereas in the U.K., you can buy slots. So someone like Heathrow, I think historically, a slot pair at Heathrow would go for something like GBP 25 million or higher, Andrew's home now. But that's the sort of investment you'd have to make in the U.K. In Europe, you have to make the investment through remedy slots. So we see this as an equivalent remedy slot investment to be able to get capacity into a completely slot-constrained airport like Linate, where you can't purchase the slots, which we obviously record on a different line if we were purchasing them. So the investment is through the route growth and the remedy routes, which will, longer term, after 3 years, we can operate whatever we like on those routes. That's the opportunity that we're investing in now.
Kenton Jarvis: Thank you, Sophie. On the cost front, I'll hand over to Jan. But I mean, what we're signaling at the top level of a modest increase in unit cost is what I'm seeing every airline signal. But I'll pass over to Jan. And remember, we don't get much in terms of upgauging next year. We only get 3 retirements of those 2 A319s.
Jan De Raeymaeker: Yes. So on the CASK level, so we're expecting for next year a moderate CASK increase where we will be benefiting from a lower fuel cost, especially in H1, less pronounced in H2, which means that the ex-fuel CASK will go up. And coming to your question, how much will ownership costs reduce or how much is the one-off cost in 2025 impacting 2026? So first of all, the GBP 54 million release of maintenance provision in the total cost of GBP 9 billion, I would say, is marginal, first of all. Secondly, that GBP 54 million has been partially offset by other one-off costs like, for example, the ETS cost that we have had or lower supplier contribution throughout the year. So that's for 2025. So they partially match themselves out. For 2026, now the reason why we're doing those aircraft buybacks is that these will reduce going forward, the ownership cost. So that will be partially offsetting the positive result in 2025 going forward. But so in the bigger scheme of things on a CASK basis, it's really marginal.
David Morgan: On the LEAP engine troubles, I don't think we've been impacted any more than the kind of industry on the LEAP situation. And in many ways, we probably benefited in a couple of areas. We have a very good predictive maintenance system through Skywise. So this is an AI-driven predictive maintenance system that sort of monitor stuff all the time, changes components before they actually fail. And then on the modification, I think you're probably referring to the reverse bleed system modification. We've got the advantage of having our own MRO facility in Malta, which is about sort of 25% of our heavy maintenance, and they have the capability of doing that modification. They've done that modification on our engines. So I think we're probably slightly better placed than most on that.
Jan De Raeymaeker: But I think as part of our resilience measures, one of the things we're doing is we're buying more spare engines. So we have increased our spare engines, both for CFM56 engines as also for the LEAP engines.
Conroy Gaynor: It's Conroy Gaynor from Bloomberg Intelligence. So just on your winter loss reduction, I mean, I appreciate you've said it's perhaps a bit more difficult than anticipated. Should we think of this as just a delay that will unwind when larger planes get delivered or the routes that you've strategically invested in mature? Or are there other more structural things in there that could make this more difficult in absolute terms? And then second, just to perhaps get in a quick appetizer for Friday. How important is the non-U.K. source markets in your new medium-term plans for the holiday business?
Kenton Jarvis: Okay. I'll do winter and then let Gary decide how much of a reveal he wants to give in advance of his big Jazz hands presentation on Friday. For winter, it really is a story of 2 quarters for us. So we've said we believe that Q1 can be a profitable quarter. I believe it can be. It won't be next year, but I believe it can be. October is proving to be an increasingly attractive late summer month. Now this October is going to see the kind of -- obviously, we're going to have the slight roll on from the summer, but we still expect a decent October performance. November will always be a bit sticky. And then the festive periods of Christmas and the interesting routes that you can fly to festive markets give Christmas are real peak quality. So as a team, I think getting that quarter to breakeven is something we will continue to work with. And when Tel Aviv and other more interesting winter destinations come online, then that will help. You've got to remember, we started flying to Cape Verde recently. That takes some time to mature, but it's doing very well, particularly out of Portugal and parts of the U.K. Egypt continues to do well and build. Morocco, we're opening a new base next year in Marrakech, that will help obviously with year-round performance. The second quarter is just a traditionally loss-making one for airlines. We invested quite heavily in the one just gone for resilience measures, but we really saw that pay back in the summer because while we saw some AT&C improvements in some of the regions through Europe, the French didn't get any better. So they met our expectations on that front. But they will, over time, they are recruiting. They are aware of their very poor performance compared with every European neighbor. And we are exposed to a lot of French airspace either overflying it or flying into it. And we will roll that back over time, but cautiously when we see that opportunity exists. It is when we do all the maintenance. The larger the fleet becomes to peak summer profit, the more maintenance you'll be doing in that schedule, and we have 25% of our heavy maintenance capabilities inside. If we see an opportunity, we will take it to increase that in-house heavy maintenance. But I see the seasonal loss in Q2 remaining stubborn and I see the opportunity to improve Q1. And that's how we think to winter really. But upgauging will naturally help because it will give a cost advantage through year for this business. And then Gary, sorry.
Garry Wilson: I'll just try and dampen down your euphoric enthusiasm for Friday. We'll try and make as exciting as possible. But Wilson Towers and Capability Green is nothing to the financial institutions that we visit when we come and see you. We feel a bit like Tiny Tim from a Christmas Carol when we go into your places. So maybe bring some sandwiches and a flask when you come on Friday. On Europe, when we look at the GBP 450 million, we've built in about 10% will come from Europe. And that's a dead cert given our current network and current plans. But I think the Europe opportunity could potentially be huge if we think about it a bit differently. When you look at Germany, it's a bigger market than the U.K. for package holidays. So there is an opportunity in Germany that we're really thinking about how we could execute on that. Switzerland is a small market, but we're very well served there. So it's how we can maximize in Switzerland with the current network. And in France, that really is a North Africa story really in France, how we can get the right product for the right customer and distribute that in the right way. So I would say think about it as 10%. But through that kind of 3- to 5-year period, as and when we see any opportunities that could be maybe structurally different in how we would go about executing in Europe, then we'll look to take those. One example I'll give you on Friday will be working with travel agents. The vast majority of sales in Germany for holidays is through travel agents. We don't currently do that. So by working with travel agents, we should see a big kick up just by doing that. So it's things like that, that we'll be looking at.
Kenton Jarvis: And we still see a great potential in cities. So we'll see how that progresses. It's growing nicely.
Ruairi Cullinane: Ruairi Cullinane, RBC. Firstly, can the holiday's PBT margin improvement be sustained into full year '26? And secondly, how are you seeing the competitor capacity backdrop on easyJet routes this winter?
Kenton Jarvis: Okay. Well, Gary, are you comfortable doing the first one, and then Sophie can talk about what we're seeing in the wider -- in our network in terms of probably '25 as well, how you saw capacity build and what the relativity was and then '26 afterwards?
Garry Wilson: Yes. So we grew the PBT margin from 12% to 13% for this year. And I don't anticipate we would maintain at that level simply because when you look at European expansion, it's at a lower margin than the U.K. beach margin. When you look at city breaks are at a lower margin. So when we're looking at that growth, whilst the PBT growth, we're confident of in terms of how that margin will look, there will probably be a conscious dilution of that margin in order to get there. But that doesn't mean that we won't be looking at any big opportunities within that beach area to really enhance the margin. So I'll talk a bit on Friday about luxury. That's got a really high margin is doing well for us. So if there's other products that we could look to launch in the meantime that would maintain that margin at those levels, then that's what we'll do.
Sophie Dekkers: Yes. So on a capacity basis, this summer then, let's take our Q4 as an example, we saw at a total market level around 3% growth and on our head-to-heads around 2% growth overall. What was interesting though, if we look at the airlines, some of the airlines that are growing the most, we had Ryanair who grew 2% in Q4, but only negative 1% on our head-to-head. So they took capacity out on our routes. Wizz grew 12% overall, but we were negative 8% on our routes, again, reducing their head-to-head capacity with us. Where we did see growth on our network was Jet2. They launched Luton this year as a new base for them. And a similar picture to the numbers at Gatwick, but not quite the same delta, but they have 5 aircraft based in Luton versus our 25 aircraft. And again, we have a lot more frequencies. We saw Jet2's results and what happened on yield on flight only. So London is definitely more of a flight only market. So it will be interesting to see kind of the growth and something we're looking at from a holiday perspective as well how we help to grow the package holiday market in London overall. So that's what we saw in terms of competitor capacity really across the network. As we look forward into winter, we're seeing a continuation of that picture really. If I look at Wizz's capacity and Ryanair's capacity on head-to-head routes with Ryanair this winter, for example, are adding 1 million seats actually that are head-to-head with us, but their overall growth is another 3 million on routes that are not easyJet operated routes. And Wizz are actually reducing taking another 700,000 seats out of head-to-head routes with us, and they're growing about 4.6 million on routes that aren't easyJet routes. So that gives you a bit of a flavor in terms of what we're seeing. And we're not seeing a big amount of growth from any of the legacy carriers. They're kind of flat, up 1%. We're seeing a bit of movement from Air France into Transavia because they're moving some of their capacity into the kind of lower-cost operating model. And similarly, we're seeing Eurowings growth as a transfer, I think majority is transfer across from Lufthansa. So a bit of transfer, but at a market level, you're not seeing a big dip growth overall in capacity.
Dudley Shanley: Dudley Shanley from Goodbody. Two questions, if I may. First of all, the current booking patterns of early and strong late trends. What do you think that tells you about the consumer? And then second of all, thinking very long term, I think you have a power by their contract with GE and GE have been telling people they won't be signing those contracts at least at those rates again. Do you need to start thinking about engine shops into the future? I think as the LEAP engines start to come due for heavy maintenance?
Kenton Jarvis: Thank you. Well, on the booking patterns being strong early and strong late, what does that tell us? Well, we're still seeing growth. So we flew 3.7 million passengers customers more as an airline in full year '25. We've got 1.4 million already booked more for Q1. easyJet holidays grew 20% last year, expects 15%, but that's a kind of similar growth number in absolute terms year-on-year as the base is getting bigger. So we still see people continuing to come towards easyJet for their holidays. Our repeat booking statistics are improving. So 71% now rebook within a 2-year period. Customer satisfaction is going up, which is really important for the long-term strength of the brand. So hard to know what to really read into the polarization of early and late other than we're ahead of where we were this time last year on all the seasons, on all the quarters that we have on sale. Engine shop, setting up our own engine shop. Well, we progressively in-sourced maintenance. We first did all our line maintenance then did the heavy base -- did the regular base maintenance and established the base maintenance facility in Berlin, for instance, to take on a lot of the European base maintenance. And we set up our first heavy maintenance facility in Malta that we got from SR Technics. And that does up to about 25% of our requirements. We would, as I said, look for more opportunities there. I think 50% is about right. So we can buy from the market 50% of the time, produce ourselves, do our own maintenance 50% of the time. You can then have much better conversations with the market about rates you would like. Otherwise you do it yourself. Engines, we have an attractive power by the hour. We're one of the last airlines to sign that because we did a well-timed order book, if you remember, 15 aircraft on order. So we placed an order for a lot of engines and a lot of spares in December '23 and secured a power by the hour agreement at that point. So we have more buffer into the future than I would argue almost every airline. It's not an unsensible thing to do. It is quite a leap that you're going to find the engineers and find the skills to do it, and you're still going to have to be buying the life limited parts and the parts of the OEMs anyway, but just competing with them in the engine shop maintenance. So it's not our priority. Our priority is to control heavy base maintenance first to the level that we want to control it, continue to work on the efficiencies. We only just bought and operated 1 year of the maintenance facility in Malta. So we want to get that really sharp in terms of its performance. And then it's something we can think about. But you're right, we have the power by the hour agreement, which does protect us for a little longer than most airlines. Well, thank you very much for coming here today. If you want to stay and have a coffee outside, I'm sure we'll be able to be hanging around if you had any other questions you wanted. But thanks very much. Appreciate it. Bye now.